Operator: Good morning, everyone. My name is Leonard [ph] and I will be your conference operator. Welcome to Tiendas Tres B First Quarter 2025 Conference Call. All lines have been placed on mute to prevent any background noise. There will be a question-and-answer session after the speakers' remarks, and instructions will be given at that time. Please ensure that your full name is displayed correctly on Zoom. And if not, please take a moment to edit your display name. Also, please note this call is for investors and analysts only. Questions from the media will not be taken nor should the call be reported on. Any forward-looking statements made during this conference call are based on information that is currently available to us. Today, we're joined by Tiendas Tres B's Chairman and Chief Executive Officer, Anthony Hatoum; and Chief Financial Officer, Eduardo Pizzuto. I will now turn the call over to Anthony. Please go ahead.
Anthony Hatoum: Good morning, everyone and thank you for joining Tiendas Tres B's first quarter 2025 earnings call. I will begin with a review of our operating results for the quarter and will be followed by our CFO, Eduardo Pizzuto, who will provide an overview of our financial performance. We will conclude with a Q&A session to answer any questions you may have. We are very pleased with the results of our first quarter, more so in the context of this market environment. Our consistent execution and our attractive value proposition have allowed us to accelerate growth and to increase market share gains. We opened 117 net new stores for a total of 2,889 stores. Same store sales grew by 13.5%. Total revenues increased by 35% to MXN17 billion. EBITDA increased by over 12% to reach MXN705 million. Cash flow generated by operating activities reached MXN1.1 billion, a 49% increase year-over-year. We ended with a net cash position of approximately MXN1.6 billion. In addition, we have $150 million of cash. We turn to operational performance and look at store openings. We have opened 117 net new stores this quarter compared to 94 stores for the first quarter of 2024. And we are accelerating our store openings. Another way to look at this is comparing our store openings last 12 months first quarter this year versus last year. For this year, we have 507 stores. For last year, 416 stores. This is an increase of roughly 100 stores. If we look at our revenues and same store sales, we continue to be one of the fastest-growing retailers globally. Total revenues reached MXN17.1 billion, an increase of 35.1% year-over-year. Very strong same store sales growth of 13.5%. Our same store sales numbers continue to be driven by our value proposition to customers and that value proposition continues to improve. If we look at our same store sales versus ANTAD, the gap is notable and increasing. I will now pass the microphone to Eduardo.
Eduardo Pizzuto: Thank you, Anthony. Good morning, everyone. Sales expenses as a percentage of revenue slightly increased from 10.2% to 10.3% due to our accelerating store opening pace. As Anthony just mentioned, we increased our pace roughly 100 stores in the last 12 months. On the matter of operating leverage, at the unit level, we continue to see a decreasing trend in cost as a percentage of sales. This is not apparent at the consolidated level as we continue to accelerate the pace of store openings. It is important to keep in mind that we pay the full cost of new stores in regions before we see the full revenues. Admin expenses as a percentage of revenue increased by 60 basis points from 3.5% to 4.1%. This includes incremental MXN84 million on noncash share-based payments or roughly 50 basis points. We're also investing for current and future growth acceleration, hiring key personnel for the 4 new regions we're opening in 2025 and increasing talent density at headquarters, particularly in IT, purchasing, controls and legal. We posted robust growth of 12.7% in our EBITDA that reached MXN705 million. Margin decreased from 4.9% to 4.1% due to the increase in investments to support our accelerating growth. Ours is a business model that generates significant negative working capital. In turn, we generate significant cash flows from changes in negative working capital. We can see, for example, that in March of '24, we had a negative working capital of MXN4.8 billion compared to a negative working capital of MXN6.5 billion in March of '25. This is roughly 10.5% of total revenue. I'd also like to highlight that our accelerating growth continues to be self-funded. I will now turn the call back over to Anthony for final remarks.
Anthony Hatoum: Ours is a robust business model that is very resilient. Our value proposition continues to increase. Our competitive advantages are real and increasing. As a result, we will see continued growth and gain in market share. We will continue to increase our investments for our future growth. It has always been our approach and it's a proven strategy. We believe that this will pay off in increasing growth rates and the creation of value for our shareholders. We continue to do the same, just faster and better. We can now start our Q&A session. So please go ahead, operator.
Operator: [Operator Instructions] Our first question comes from the line of Bob Ford. Please state your company and ask your question.
Bob Ford: This is Bob Ford from Bank of America Merrill Lynch. How should we think about your investments in talent, both in terms of the magnitude of the expense and as well as the capabilities and functionality that some of the additions kind of bring about? And then with respect to the new distribution centers that you're planning for this year, how should we think about the split between increased density in existing trade areas versus entry into new regional markets?
Anthony Hatoum: Bob, thanks for the question. Look, any investment we make is made with a simple criteria in mind, what's the return on this investment. So when we do increase talent density and it does result in an increase in expenses as we have observed in this quarter, it is definitely because we are planning for our future growth. And it's always been our strategy to invest for future growth. Nothing -- there's nothing new in our approach. And strong believers here that an increase in talent and density is one of the key competitive advantages that we will have going forward and one of the key drivers, one of the key ingredients, if you want to think about it this way, to create opportunities and to create growth going forward. The second question had to do with density of distribution centers. And it's again the same approach as always. We are very standard in our approach of opening distribution centers. We like them to be all operating exactly the same and it makes it very easy for us then afterwards to manage this business because they're all equal regions, equal distribution centers and benchmarking them allows us to be very efficient thereafter. So the question is, does this density impact one another. It's all driven by stores. We open stores. And based on their location, we decide where to open our next generation of distribution centers. If they happen to be close to each other, that could be the case. But it's a very logical outcome because what you're doing is compacting distances between a distribution center and its stores and therefore, increasing your logistics efficiency. And that's the only criteria that really matters. How efficient are you logistically? And if you're being more efficient, then that's the right answer.
Bob Ford: My spin is actually very different in the sense that I really believe that you're under-stored in your core market, right, where you started in Mexico City. And I think that the opportunity to drive greater density is massive. And I think that because there's familiarity with the brand, your stores are more likely to mature faster. And that was where I was coming from.
Anthony Hatoum: Absolutely. You're absolutely correct with the statement in that there is still significant runway in the areas in which we're operating. So our strategy has been to spread out but also to increase the density within the areas in which we operate. And we have yet to see -- I would be hard-pressed to tell you, oh, we've saturated an area. There is no more space to open a store in an area in which we currently operate. And you're absolutely right, in the areas in which we currently operate, you have a tremendous leverage because your brand -- your brand is well known. People who could be your customers in a new store have probably shopped with you before. And therefore, you do see the improved performance when you do open a new store.
Bob Ford: And then with respect to the systems investments that you mentioned in the press release, can you foreshadow maybe some of the capabilities you anticipate and some additional, I guess, some incremental redundancy initially as you prepare for transition but maybe the -- I guess, the path to increase functionality, new products and services.
Anthony Hatoum: We look at -- absolutely, Bob. I mean, here, we look at it -- as we look at any investment, what's the return going to be on investing in tech? And I break it down into 2 parts. One, the new generation of tech is significantly more efficient than the generation on which we built our current tech which, by the way, works perfectly well and continues to be very scalable. But why not take advantage of something that is more efficient. And yes, there is going to be an overlap between the old tech and the new tech and probably for a period of time, you will see an increase in expenses during that transition period. But on top of the fact that the new tech is significantly more efficient, it gives you a portfolio of new tools that the old tech simply didn't offer or offered you in a very expensive or cumbersome way. And just think about big data. I mean, this is a business that generates significant amounts of data. And the way we take advantage of this data in the old tech versus the new tech has -- it's an order of magnitude more efficient, more impactful, more useful in the new technology platform. And just think about AI. With the old tech, we can't use AI with our databases. With the new tech, we absolutely can use AI. It's as simple as that.
Operator: Question comes from the line of Alvaro Garcia. Please state your company name and ask your question.
Alvaro Garcia: Alvaro Garcia from BTG Pactual. My first question is for Eduardo on sales expenses. I was wondering if you could comment on the timing of, I guess, certain growth investments, DCs, new stores throughout the year and the impact to 1Q specifically. You mentioned in the prepared remarks that it's important to keep in mind that you pay for the full cost of the store and a D.C. before setting up shops. So just curious as to how we should -- I see sales expenses sort of the primary driver of leverage on the margin front going forward. So I was wondering if you can comment on timing of sales expenses.
Eduardo Pizzuto: Alvaro, yes, absolutely. The timing of this is because remember that we're increasing the pace of store openings. So today, we're increasing from 400 to 500 stores. And what we mean by that is that we're paying off the initial investment of the stores and then revenues will come afterwards. And that's been the case pretty much since inception and since we've been continuing to grow. And this is what we should expect this year as well because we're increasing that pace of growth. Now in terms of our distribution centers, it's the same case. As Anthony just explained, we opened the stores first and then we open our regions will make us even more efficient once these are open. These regions, the distribution centers will be opened through the year within the next 3 to 6 months. And once we have them open, again, we will start seeing the benefits on logistics expense mainly. But on the unit side, you mentioned also leverage on sales expenses that you're expecting leverage on -- mainly on sales expenses. What we're seeing on a unit level, Alvaro, is that we continue to see leverage as expected. So you don't see that because it's on a consolidated basis that you're looking at right now. But if you were to look at their older stores, older vintages, we continue to see leverage on those stores. And that continues to be the case. So -- and today, by the way, the new stores that we're opening, they're pretty much on track as what we had been expecting as you saw the targets on unit economics. So we're pretty much on track based on what we have published; so that's what we should.
Alvaro Garcia: And then my second question is on share-based expenses going forward. We saw a significant uptick in the first quarter. I was wondering if you could maybe provide some color on whether this is a new normal or if this is a bulkier than usual quarter. My sense is the new normal. You've already sort of announced issuance for this year but any comments with regards to that line item would be very helpful.
Eduardo Pizzuto: Yes. Thanks, Alvaro. Yes. Yes, we should think about what the number that we have today for the remainder of the year. It's about 1.2% of sales and it has to do with the options and RSUs that were granted at the end of last year. So it is not a bump in Q1. So think about this as ongoing for the rest of the year.
Anthony Hatoum: Again, just a reminder to all, I mean, share-based compensation has been extremely impactful in our case. It has driven the results that you see today. It has driven the entrepreneurial spirit that you see at Tres B today. It has driven the can-do attitude. It has protected us from poaching talent. So we'll continue to do this because it's an excellent return on investment.
Operator: Our next question comes from the line of Joseph Giordano. Please state your company name and ask your question.
Joseph Giordano: This is Joe Giordano from JPMorgan. So I have like 3 short ones. So the first one, like when you look at the gross margin, it has been a little bit volatile. We know that the company's focus is to maximize operating leverage here. So just wanted to understand a little bit more the dynamics behind the gross margin into the first quarter since we have been seeing like an increased penetration of private label in your base, so basically like -- and in theory, a gross margin driver for that sake. So having that said, I mean, if you could comment a little bit more on this like weakness of the consumer environment and if you're seeing like any kind of more aggressive approach from peers? And going back to the expense, I mean, last year, like you guys did like an amazing job in the first quarter to offset the minimum wage. So basically, you mentioned that there were some fat to be cut. So I would like you to compare a little bit your ability this year to offset those expense pressures other than like growing sales in terms of like headcount adjustments and things like that?
Anthony Hatoum: I'll break the question down in 2 parts. So we'll talk about gross margin, then we'll talk about personnel expenses. On the gross margin, nothing has changed, Joe. It's the same dynamic driven by scaling up and us taking advantage of the benefits of scale, whether you're looking at commercial or private label products, both benefit from scaling and we will see over time a steady improvement in gross margins, while we have quarter-to-quarter, as we've said many times, changes and volatility. And it's normal because of the way we manage pricing which is on a product-by-product basis. And then as a result, we get the gross margin that you see here this quarter. Now if your question had to do with do we see any pressure in dropping prices, the answer is no because we haven't changed anything we -- the way we've done things and we basically set prices based on elasticity and that we're optimizing for the number of products, items sold and total revenues and total dollar margin. So nothing has changed since last quarter and last year and we don't see anything on that front. On the question of personnel, you have to take into account 2 things. One, because of our accelerated -- it's not only the fact that we have an increase -- we've seen increases in salaries but also because when you're looking at growing the rate at which you're opening stores, you need to start training your people ahead of time. And so you might see that appear in the personnel numbers. In our case, these expenses are highly diluted by the growth in our sales numbers. So I'm not sure if I answered your question but I think this is how I look at it.
Operator: Our next question comes from the line of Alejandro Fuchs. Please state your company name and ask your question.
Alejandro Fuchs: I have 2 quick ones on my end. I wanted to see maybe if you can give us some color on same store sales breakdown between traffic and ticket during the quarter and congratulations on the very impressive and strong print. And the second one, in terms of free cash flow generation, I think the quarter was quite strong. I wanted to see if you expect this trend to continue or maybe we could have some cash usage due to more openings throughout the year.
Anthony Hatoum: The first part, we're seeing solid growth in both tickets and ticket size. So I'd say 50/50. And on our cash flow generation abilities.
Eduardo Pizzuto: I'll take that question, Alejandro. No, I mean this is -- again, this is negative working capital changes in working capital. This is something that we need to look on a -- not necessarily in a quarter-by-quarter but on a longer-term range. But yes, we did generate significant cash in this quarter. And it's really business as usual because we're not -- the fundamentals of those key metrics have not changed. So payables and inventories continue to be pretty much the same, although inventories have slightly come down and that's the reason that we generate so much cash. And we have always been balancing the cash generated and reinvest that back into CapEx for new stores and more growth. So this is something that we should expect. I mean, some quarters will be up, some quarters will be down. But overall, the trend will continue to be upwards as we've seen in the past. And that's why we continue to be self-funded since many, many years now.
Operator: Our next question comes from the line of Ulises Argote. Please state your company name and ask your question.
Ulises Argote: This is Ulises Argote from Santander. I wanted to get your thoughts on potential impacts and also maybe how you could offset the pressure of operating stores under this assumption of the gradual reduction of the working week in Mexico that was announced a couple of days back. Maybe, Anthony, it goes in line with the answer you provided to Joe's earlier question but it would be interesting to get your thoughts on that. And then afterwards, I have another follow-up question.
Eduardo Pizzuto: Yes, we -- I mean, as we've explained before, even if it's gradual or a full impact and which they've announced is going to be gradual, as we've explained before, we have some wiggle room in the sense that we have hard times at the store and we will shuffle those and we will be able to comply whenever this is said and done. I think we need to get the clear rules on how that will impact. This is something that we've been looking into and also preparing for whenever that happens. So whenever that happens, it will happen and we will comply with it. We might see a small bump in the initial stages but as on our labor cost, as we continue to increase our sales, this is something that will eventually stabilize and actually decrease as a percentage of sales. So that's the way we're looking at it, Ulises.
Ulises Argote: The other question that I had was more on the strategic side of things. I was actually driving by your headquarters the other day and saw the YEMA signed there next to Tiendas, right? So I was just wondering what the strategy is with the brand. Should we kind of expect some rollout of stand-alone YEMA stores on top of the additional current couple of ones that are already out there? Or is kind of the strategy there for this to serve more as a differentiator in some stores there with assortment? I don't know, maybe just to get some sense of where you see this part of the business going.
Anthony Hatoum: I think YEMA has been a very successful concept and we will very likely roll it out. The pace of it would be at a different pace than what we roll out Tiendas Tres B based stores but it will expand.
Operator: Our next question comes from the line of Andrew Ruben. Please state your company name and ask your question.
Andrew Ruben: Andrew Ruben at Morgan Stanley. Maybe just a bit of a broader one but you showed the chart that essentially implied that your comp spread versus ANTAD widened and widened pretty meaningfully sequentially. So I know there's not kind of one single item but just I'm curious your perspectives, any thoughts of Tiendas Tres B versus the market, what might have changed between 4Q and the even more favorable results in 1Q?
Anthony Hatoum: Andre, I mean, I think the only way to answer this is that our clients are choosing us because we are offering a better value proposition. And we know internally that we are continuously improving our portfolio of products and increasing what we offer to our clients. That's the only explanation I can give you to why we see our same store sales at the level they are versus so what ANTAD is experiencing. I mean the only other maybe fine-tuning to this answer would be we continue to offer basic goods. I mean these are the things you consume most frequently. And therefore, you're not going to cut down on these when it's time -- when you decide you want to cut down on your budget of spending. Our portfolio is the one that is going to be the least affected, if at all. So again, our business model because of that is extremely resilient. We are also extremely efficient because we have a limited assortment of 800 SKUs. And these are real and sustainable competitive advantages that we've always had and that continue to improve over time.
Operator: Our next question comes from the line of Pablo Vaz [ph]. Please state your company name and ask your question.
Unidentified Analyst: This is Pablo Vaz from Sumit Management [ph]. Looking back to fiscal year 2024, we saw a slight uptick in your cash conversion cycle which seems partly due to a decrease in days payable. Now that we are a few months into 2025, do you expect this trend to continue? And could you expand that a bit on how you're seeing your relationship with your suppliers and how that's evolved over the years?
Anthony Hatoum: Yes. I don't -- I think that payables and inventories are stable for the foreseeable future. And if you see small variations quarter-to-quarter, that's completely normal but I wouldn't read more into it. And the best assumption is to assume they're stable for the foreseeable future. And our relationship with suppliers has always been extremely strong and only get stronger as you scale. But if your question is, do we try to extract from our suppliers better terms and conditions on this front? The answer is I don't see anything happening there.
Operator: Our next question comes from the line of Jim Luther [ph]. Please state your company name and ask your question.
Unidentified Analyst: This is Jim Luther [ph]. I'm a shareholder representing myself. Here's my question. You mentioned in your release that you're operating in a challenging consumer environment. Can you expand on what you mean by that and expected trends in the future? And in addition, if Mexico doesn't work out a trade agreement with the U.S. in the near term, will that have any impact on -- from your perspective on Mexican domestic consumption?
Anthony Hatoum: Jim, good to hear from you. And Jim is one of our very early shareholders through his father. So it's great to hear from you. As you've heard analysts opine, Mexican consumers are under pressure and have cut down their spending. But as you've heard us say, we haven't seen the impact of that in what we sell. And we don't expect that to change much because, again, what we offer to the customer is a very high value proposition. And therefore, if anything, we benefit in environments where a customer is basically trying to save money. We also sell the basic assortment of goods which you consume on a very regular basis. And therefore, when you cut, this is the product that you're least -- you cut the last. And so very unlikely that we see an impact when things get tight. Now on the second part of your question had to do with what happens in our U.S. versus Mexico tariffs, trade relations, etcetera. We have looked at all sorts of scenarios of what might happen. And we are usually coming out winning in every single one of the scenarios you can think of. So a scenario that increases, for example, inflation because prices of goods become higher, we're a business model that tends to benefit from inflation given that we work with significant negative working capital. If people are feeling tighter and we go into a recession, people tend to -- we have tended in previous recessions to gain significant new customers. And when things get better, customers are sticky. We don't lose them. So net-net, I think this is the business model that is most resilient and resistant to these kinds of things and actually benefits from these turbulent environments.
Operator: Our next question comes from the line of Héctor Maya. Please state your company and ask your question.
Héctor Maya: Héctor Maya from Scotiabank. Just wanted to know how your conversations have been evolving with suppliers with the consumer and tariff context that we are seeing. Just to understand what kind of scenarios you're maybe discussing with them, if there are some efficiency initiatives being considered or on negotiations with them? And what's the view on how to split potential savings, if any, in the case that you find further efficiencies down the road? Just to understand how much space or opportunities in margins that there could be for Tiendas Tres B under the current consumer environment from a supplier perspective.
Anthony Hatoum: Yes. And I'm assuming here, Hector and good to talk to you that we're focusing more on our private label suppliers and not on our commercial brand suppliers. If that's the case, then let me step back by giving some context that we work very closely with our suppliers and we work long term. I mean, honestly, 2025 was planned 3 years ago. And so what we do today is thinking with our suppliers and our partners, what are we going to be doing in '27, '28, how are we going to ensure that we have supply, how we're going to ensure that the supply is going to be extremely efficient in terms of manufacturing and distribution. And the matters that you put on the table about how do we get efficiencies have already been discussed and planned for a long time ago. So when it comes to saying, okay, how do we divide the pie, it's already been divided. And there's no -- there's nothing new that's happening right now because of the current environment. This builds a lot of trust and this allows us to operate very closely and together look for win-win solutions. And believe me, there is a lot of benefits to working like this very closely with your supplier. Fundamentally, if you look at it, what's driving the benefits is scaling. So as you scale, everything becomes significantly more efficient and these efficiencies are split fairly between us and our suppliers.
Héctor Maya: And now that you mentioned it, is there any change on how you've been talking to your other suppliers.
Anthony Hatoum: You mean our commercial brand suppliers who are very important to us.
Héctor Maya: Yes.
Anthony Hatoum: And with whom we have excellent relationships. And again, the benefits of scale come into play here. But perhaps the planning is not as long-term as we do with our private label suppliers.
Héctor Maya: Yes. I understand. I mean it's particularly important under the current tariff scenario, right?
Anthony Hatoum: Yes. I mean, again, if part of the question is what happens to prices because if there are tariffs, we can expect that some raw materials might increase in price, etcetera. And whether it's due to tariffs or a devaluation because when you look at inputs, they're very dollar priced. What we've seen in the past is that they get passed on to the consumer over time. And the impact of passing on this increase in price to the consumer has an impact. Elasticity of products depends on the product. But we just happen to be offering to the client products where you have to -- you will buy them and you don't necessarily substitute significantly when you see an increase in price. But again, this is just very theoretical and in general and I can only point to what's happened in the past and what we've observed in the past. Tres B doesn't get impacted on the contrary. I see Tres B benefiting from scenarios like this.
Operator: Our next question comes from the line of Javier Perez [ph]. Please state your company name and ask your question.
Unidentified Analyst: This is Javier Perez [ph] from [indiscernible]. Congrats on the strong execution and expansion. I wanted to touch base again on stock-based comp. The way we think about it is in a tough low-margin business like yours, profitability is always a trade-off. And assuming the mature model runs on thin margins, it's quite unusual or at least for us to see meaningful stock-based compensation programs in retail companies. Yet in Q1, I think the stock-based comp reached nearly 8% of the gross profit which surprised us a bit. How should we think about it, not just in the next year, as you have already answered but over the long term? And what I'm asking this is because the case of Tiendas Tres B is starting to gain visibility in public firms and some potential investors have raised some concerns, both around the future dilution implied by some outstanding stock options plans but also the recent sizable stake that you, Anthony, sold in the secondary offering. It would be helpful to hear your perspective on how you are thinking about this going forward.
Anthony Hatoum: Thank you for the questions and I'll try to break them down as there are several embedded in there. Let me start by stock-based compensation. From the get-go, we are firm believers that stock-based compensation is an investment with a very high return. And therefore, we will continue to do that irrespective because this is what has brought us to where we are and explains the phenomenal growth rates that we've been seeing and the fact that we operate faster and more efficiently today than we did yesterday. So when you have a company where the entrepreneurial spirit is strong, you do have very strong benefits in being able to maintain very high growth rate bases and no hiccups. This is a company that's been able to grow now for over 10 years at these rates you're seeing with no hiccups. Part of this is given the spirit of the people that we attract to this company, the talent that we attract and we attract them with stock-based compensation. And of course, a lot of you are aware that stock-based compensation is noncash and it does appear as an expense but it's a noncash expense. So when you are modeling, you either model this but don't dilute in the share count or you don't take it into account and dilute in the share count, doing both would be double counting.
Eduardo Pizzuto: Javier, you also asked the question on dilution, etcetera. What I would encourage you -- I'm not sure if you had the chance to look at it is -- prior to our follow-on, we published an example, an illustrative example of dilution and it's on our website. If not, you can download it from there.
Unidentified Analyst: Thank you, Eduardo. Yes, we did.
Eduardo Pizzuto: Okay. So it gives you a pretty good idea of what dilution means. So it's roughly about 160 million shares which is already -- everything is already accounted for. So there is -- so I just want to touch on the point about the future dilution that you referred to. So I think it's pretty clear on that example.
Anthony Hatoum: There was a question about my selling a stake in the secondary offering [ph]. I would basically say it's a very small stake in the total. And as you know, conservatively have been allocated the whole stake of Bolton Partners -- the main reason for selling has been fiscal, taking care of fiscal obligations.
Operator: That's all the time we have for the Q&A session. I would like to hand the call back to Anthony for his closing remarks.
Anthony Hatoum: Ours is a robust business model that is very resilient. Our value proposition continues to increase. Our competitive advantages are real and increasing. As a result, we will see continued growth and gain in market share. We'll continue to increase our investments in our future growth. It has always been our approach and is a proven strategy. We believe that this will pay off in increasing growth rates and in the creation of value for our shareholders. We will continue to do the same, just faster and better. Thank you, all. Thank you to our investors and to the analysts that are covering us for your continued support and confidence in our strategy. And if you have any questions, you can reach us directly, Eduardo and I. We're very happy to talk to you and to answer your questions. Thank you again.
Operator: Thank you. That concludes today's call. You may now disconnect.